Operator: Good day, everyone, and welcome to the Cintas quarterlyearnings results conference call. Today’s call is being recorded. At this time,I would like to turn the call over to your host, Mr. Bill Gale, Senior VicePresident of Finance and Chief Financial Officer. Please go ahead.
William C. Gale: Good morning and thank you for joining us to discuss ourcompany’s results for the second quarter of fiscal 2008. With me today is MikeThompson, Cintas' Vice President and Treasurer. After some brief comments, wewill open the call to questions. We are pleased to announce increased sales and profits forthe quarter ending November 30, 2007. Total revenue increased 6.6% and earningsper diluted share increased 3.9%. We had continued strong growth in both ourdocument management division and the first aid side of the first aid and safetybusiness. We also showed improved organic growth in both our rental and uniformdirect sale businesses. Net income was $82.9 million, up slightly from last year’s$82.5 million. This year’s results were negatively impacted by a highereffective tax rate of 38.3% versus last year’s 37.3%. With the adoption of thenew rules on tax accounting, companies must be more precise on a quarterlybasis in the recording of the tax provision versus the old rules whichcalculated taxes on an effective rate for the entire year. Thus, this quarter’shigher tax rate should be the highest of the year. By the end of the year, weexpect our annualized rate to be at 37.3%. Shortly, Mike will provide you further details regardinggrowth by segment as well as a discussion of margins. During the quarter, the company purchased 5.2 million sharesof its stock in open market purchases. Since the initiation of the buy-backprogram in May of 2005, Cintas has purchased 19.4 million shares, representingabout 11% of the outstanding shares at the inception of the program. We currently have $228 million remaining under theauthorization from the board to purchase Cintas stock. Subsequent to the end ofour quarter, Cintas also issued $250 million in 10-year bonds. These proceedswere used to pay down commercial paper. As Scott Farmer stated in the release, our results are inline with the plan for the year. Our current guidance of revenues for thefiscal year ending May 31, 2008, remains unchanged. That guidance calls fortotal revenues of $3.9 billion to $4.1 billion. Earnings per diluted share arestill expected to be in the range of $2.15 to $2.25. The Private Securities Litigation Reform Act of 1995provides a safe harbor from civil litigation for forward-looking statements.This conference call contains forward-looking statements that reflect thecompany’s current views as to future events and financial performance. Theseforward-looking statements are subject to risks and uncertainties, which couldcause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained inour most recently filed Form 10-K. I would now like to turn the call over to Mike Thompson.
Michael L. Thompson: Thank you, Bill. Good evening, or good morning, rather.Total revenues were $983.9 million for the quarter, a 6.6% increase over thatreported in the prior year. Internal growth was 4.8% during the second quarter,which is an increase from our first quarter internal growth rate of 4.2%. Whilegeneral economic conditions worsened as compared to our last two quarters, ournew sales organization continued to gain strength and provided us with theimproved new business results. Most notably in our emerging business units. All of our businesses are growing but our emerging businessservices continue to grow at accelerated rates. Our transformation into a morewell-rounded service provider continues. At the end of fiscal 2007, revenues from our first aid,safety, and fire protection and document management segments representedapproximately 13% of total company revenues. Through this year’s secondquarter, these segments represent 14.4% of total company revenues. As a reminder, our second quarter had 65 work days, the samenumber of work days as the second quarter of fiscal 2007 but one less work daythan our first quarter of this fiscal year. The number of work days does impactquarter-to-quarter comparisons. For the remainder of fiscal 2008, the work dayswill be as follows: our third quarter will have 65 work days, which is one morework day than the third quarter of fiscal ’07; and 65 work days in the fourthquarter, which is one less work day than the fourth quarter of fiscal ’07. Our rental uniforms and ancillary products is our largestoperating segment, accounting for 72% of total company revenues during thesecond quarter. This segment reflects the rental and servicing of uniforms andother garments, mats, mops, [shop towels] and other related items. We alsoprovide restroom and hygiene products and services within this segment. We arethe largest provider of both corporate identity uniforms and facility servicesin North America. Uniform and ancillary product revenues were $708.8 millionfor the quarter, compared to $684.5 million in the second quarter of last year,a 3.6% increase. Year-to-date revenues for this segment are up 3.4% over lastyear’s first six months. Factoring out acquisitions made over the last 12 months, ourrental organic growth rate was 3.25% for the second quarter, which is animprovement over the 3.0% internal growth in the first quarter of last year. We continue to see improvement in our new business resultswithin our uniform and ancillary product segment, resulting from our new salesorganization and we are encouraged by these results. The new business generatedwas more prominent toward the end of the quarter. While we have not seen a significant change to our overallcustomer base, our combined loss business and add-stop ratios have worsened ascompared to our previous two quarters. Our uniform direct sales operating segment incorporates ournational account sales division, which direct sells uniforms, brandedpromotional products, and other related products to national and large regionalcustomers, and our direct sale catalog, which direct sells uniforms and relatedproducts primarily to local customers who also rent products from us. During the second quarter, uniform direct sales revenuegrowth improved to 5.1%, up from 1.5% in the first quarter. Second quarterorganic growth for this business was also 5.1%. As we mentioned last quarter, this business tends to be achoppier business quarter to quarter. While our national account direct salebusiness improved as compared to the first quarter, the more significantimprovement came from revenue generated from our direct sale catalog, whichfocuses on local customers that also rent products from us. Our third operating segment is first aid, safety, and fireprotection services. Within this business, we provide onsite delivery of firstaid products, safety products, and automatic defibrillators, and we providesafety training to our customers and their employees. We install, inspect, repair and recharge portable fireextinguishers and sprinkler systems and we provide and service emergencylighting systems and kitchen fire suppression systems. We are the largest onsite provide of first aid and safetyproducts in North America and the second-largest provider of fire protectionservices. During the quarter, revenues within our first aid, safety,and fire protection operating segment grew 13.4%. On an organic basis, thissegment grew approximately 6.2% as compared to 8% in the first quarter. As inthe first quarter, this decrease was due to lower-than-anticipated installationsales. Within fire protection, we sell and install certain firesuppression systems. The timing of the sale of these installations is closer toa direct sale business than to the repetitive nature of most other sales withinthis segment. This business is also dependent on new business construction. Thecontinued weakness in this area of fire protection is causing our overallinternal growth rate for first aid, safety, and fire to suffer. Given theirsize, a relatively small dollar shortfall in our emerging businesses can havean impact on internal growth results. Excluding this installation business, ourfirst aid, safety, and fire business is growing approximately 10%. We continue to evaluate and make strategic acquisitionswithin this segment, with a particular focus on expanding the geographiccoverage of our fire protection service business. As with our other businesses,we believe a full national presence will provide us unique opportunities withlarge national customers and prospects. Our document management services operating segment iscomprised mainly of document shredding services, although we do have somestorage capabilities. Revenue within this operating segment continues to growat a very rapid rate. Second quarter revenues for the document managementoperating segment grew 77.4% as compared to 78.1% in the first quarter.Internal growth for this segment was 43%, the same as our first quarter andcomparable to the 44% internal growth achieved during the fourth quarter offiscal 2007. Paper prices continue to be very strong and do play acontributing factor to these internal growth rates. However, excluding thesehigher paper prices, our service revenue continues to be very strong, withinternal growth rates in the high 30s. We continue to make strategic acquisitions in this businesswith an emphasis on gaining full national coverage in the United States andCanada. As previously mentioned in the discussion of our fire business, webelieve a true national presence in all of our business services will provideus the opportunities with large national customers and prospects. As we announced last quarter, we expanded our documentmanagement business beyond North America by acquiring a document managementcompany in The Netherlands. While still fairly new to Cintas, this acquisitionis meeting our expectations. We are gaining valuable experience in running thisinternational operation and we continue to actively evaluate otherinternational opportunities within document management as well as our otherlines of business. Total company margins of 42.7% declined 40 basis points ascompared to first quarter margins, but improved 30 basis points as compared tothe 42.4% in the second quarter of 2007. The decline from the first quarter wasdue to a slight reduction in rental margins and the margin impact of the fireinstallation revenue shortfall. The 30 basis point improvement over last year’ssecond quarter was due to a slight improvement in rental margins and thecontinued improvement in the overall emerging business margins. Our rental uniform and ancillary products gross margin was44.7% of revenue for the second quarter, which is a slight 20 basis pointdecrease from the 44.9% gross margin achieved in the first quarter, but a 20basis point improvement over the 44.5% gross margin in the second quarter oflast year. The second quarter had one less work day than this year’sfirst quarter, which impacted margins. The margin improvement from last yearwas due to improved material costs. Energy costs as compared to the firstquarter and to last year’s second quarter were flat. Other services gross margin declined 30 basis points fromthe first quarter but improved 150 basis points as compared to last year’ssecond quarter. The decline from the first quarter was due to pressure onmargins within our first aid, safety, and fire protection segment, due to theshortfall in installation sales within fire protection, despite being staffedfor growth. Despite this pressure, other services margin improved 150basis points over last year’s second quarter due to improvement in the uniformsales segment and document management segment. Improved sales within uniformsales enabled us to cover more overhead while increased scale and strong paperprices drove document management margins higher. The significant total growth within first aid, safety, andfire protection services and document management services is allowing us togain scale in these businesses, driving margins higher. Given the current sizeof these businesses, there is the potential for margin movement on a quarter toquarter basis. However, we expect other services gross margin to continue togenerally trend upward as these businesses continue to grow and achieve scale. Selling and administrative expenses were 28.0% of revenuefor the quarter, as compared to 26.9% for the second quarter of last year and28.6% for the first quarter of this year. The increase over last year wasprimarily due to the increased investment in our sales organization.Additionally, increases in legal and professional fees and other smallincreases were offset by an improvement in medical costs. The selling and administrative 60 basis point leverageachieved from this year’s first quarter was due to a decrease in professionalservice fees and medical costs. Payroll taxes also decreased on a percent ofsale basis, which is typical for our second quarter as we are in the laterstages of the calendar tax year for individuals. This improvement in sellingand administrative costs provided for an overall operating margin improvement of30 basis points over the first quarter of fiscal 2008. Net interest costs were 1.1% of revenue this quarter, aslight improvement from 1.2% in the first quarter, as well as last year’ssecond quarter. Our effective tax rate increased to 38.3% for the quarter,which is a 100 basis point increase over last year and last quarter. Thisincrease was due to second quarter reserve requirements under FASBinterpretation number 48 accounting for uncertainty in income taxes andinterpretation of FASB statement number 109. We expect the company’s effectivetax rate to be below 37.3% for the remainder of fiscal 2008 and that oureffective tax rate for the full fiscal year will be approximately 37.3%, whichis the same as last year’s effective tax rate. Net income for the quarter was $82.9 million and earningsper diluted share were $0.53 per share. As Bill mentioned, we are concerned with current economicconditions but they have not deteriorated to the point where we believe achange in our fiscal 2008 guidance is warranted. Therefore, given our resultsthrough the second quarter, we are reiterating our fiscal 2008 revenue anddiluted earnings per share guidance which calls for total revenues for the yearof $3.9 billion to $4.1 billion and diluted earnings per share of $2.15 to$2.25. Our balance sheet and cash flow remains strong. Our currentratio is 3.4 to 1. As compared to our August 31st balance sheet, cash andmarketable securities increased approximately $16 million. This is due totiming as excess cash is used to reduce outstanding commercial paper balanceson a regular basis. DSOs on accounts receivable were 40, which is the same aslast quarter. Accrued liabilities increased approximately $50 million fromAugust 31st, mainly due to seasonal items. Approximately half of this changerelates to our Aviva funding. We typically pre-fund Aviva, which is apre-payment vehicle for employee medical benefits, during the first quarter ofeach year. The remaining $25 million is mainly from increased bond interest accrualsand employee retirement benefits accruals. As a reminder, we do not have any significant definedbenefit plans. Long-term debt at November 30, 2007 was $949 million, anincrease of $68 million from August 31st. The increase related to $23 millionof acquisitions and $191 million of share buy-backs, offset by cash flowgenerated during the quarter. Total debt as a percentage of total bookcapitalization increased moderately to 30.6% from 28.2% at August 31st. As of November 30th, our total debt consisted of $475million in public debt, $464 million in outstanding commercial paper, and $10million of other bank debt. Throughout the quarter, we were able to issuecommercial paper at attractive rates, experiencing solid demand. On December 7th, subsequent to quarter end, we refinanced$250 million of our commercial paper into 10-year, 6.125% public debt. Thisrefinancing allowed us to take advantage of current long-term rates, maintainthe flexibility to continue to pay down remaining commercial paper levels, andrestore some dry powder. As Bill mentioned, we bought back approximately 5.2 millionshares during the second quarter. Our total outstanding shares as of November30th were 153.7 million shares. Since the inception of our buy-back program, wehave bought back over 11% of our outstanding shares. Year-to-date cash provided by operations was $271 million.These strong cash flows allowed us to cover year-to-date capital expendituresof $93 million and acquisitions of $56 million, and a portion of the sharebuy-backs made during the quarter. We continue to expect capital expenditures-- I’m sorry, we expect capital expenditures for fiscal 2008 to be between $180million and $200 million. We continue to actively pursue acquisition opportunities,spending $56 million for businesses so far this year, focusing on opportunitiesin fire protection service and document shredding lines of business. Theacquisition pipeline continues to experience good flow. We expect our balancesheet and strong future cash flows to allow us to continue to invest in ourbusiness and make strategic acquisitions. Thank you and I would now like to open the call up to anyquestions you may have.
Operator: (Operator Instructions) We’ll go to our first question inthe queue from Ashwin Shirvaikar with Citigroup.
Ashwin Shirvaikar -Citigroup: Thank you for taking my question. I’d like someclarification on the first aid side of the business. How much is installationversus the recurring revenue and is the profitability different in the twoparts of the business?
William C. Gale: We don’t disclose the components of the first aid and safetybusiness for competitive reasons, so we are not going to get into that at thistime. I can tell you that the reason we’re in the installation business thoughis as much to obtain the services businesses down the road as anything. We findthat as an opportunity for us to do more for our customers and then enable usto get the ongoing revenue streams of the fire extinguisher servicing and thevarious sprinkler systems servicing on a recurring basis.
Ashwin Shirvaikar -Citigroup: Okay, but given the dependence on new business construction,which doesn’t seem like it’s coming back in the near term, would you expectsort of a flattening of the margin levels at what you achieved in this currentquarter or would you expect a rebound because you are doing better with theother part of the business? I know it’s a small part of the business but it isa --
William C. Gale: It’s very difficult for me to give a precise answer on that.Obviously you are right, that the new construction is going to impact theamount of opportunity in that business. We’ll certainly adjust our coststructure going forward. If we anticipate that there will be a slowdown in thatsegment, so that we’ll try to maintain or improve margins from this pointforward.
Ashwin Shirvaikar -Citigroup: Okay, and one last question, if I may; the direct sales,nice up-tick in that part of your business. Whatever you signed in the quarter,is that sort of a multi-quarter event where it’s a large client and you have --you are ramping up a program for a couple of quarters or is it sort of a singlequarter event?
William C. Gale: Well, as Mike pointed out in his comments, a lot of thatgrowth did come from our catalog business, which is basically sold off of ouruniform and facility services routes, so that’s more of a one-time sale asopposed to a recurring sale going forward.
Ashwin Shirvaikar -Citigroup: Okay. Thank you.
Operator: Thank you. We’ll take our next question from Gary Bisbeewith Lehman Brothers.
Gary Bisbee - LehmanBrothers: Good morning, guys. I guess the first question, with thedocument management business, can you give us an order of magnitude, a sense,or any guidance on how we should think about the revenue contribution and alsothe margin contribution from the services you are charging versus the sales ofpaper on the back end? I mean, is this -- you know, you’ve mentioned it two quartersin a row, that this is a drive of both the top line and the margin and thatthat may not persist if paper prices fall, but is that a really big piece? Isit just on margin?
Michael L. Thompson: From a growth standpoint, we indicated that the internalgrowth of 43% this quarter, we would have been in the high 30s without theimpact of paper prices. We have not talked about or provided detail from themargin side. Certainly there is benefit there and the reason for theimprovement in other services margins is two-fold. It’s certainly paper price isplaying a part of that but also just the increased scale and the amount ofdocument business services business that we have and revenues that we have intotal are driving that. So we haven’t provided detail on the margin side but I thinkyou can kind of back into it from the sales side.
Gary Bisbee - LehmanBrothers: Okay, and then just looking at that, the last couple ofquarters, even if you assume that the paper had a part of it, there’s been asubstantial increase the last three quarters. Is it safe to say that theyear-ago period and the first half of last year were low single digits is alevel you are unlikely to ever go back to at this point, even if paper softenssomewhat?
Michael L. Thompson: I don’t know what you mean by low single digits. We’ve neverbeen low single digits in document management internal growth.
Gary Bisbee - LehmanBrothers: No, no, no, I was talking about the pretax margin.
Michael L. Thompson: Pretax margin -- no, we expect that to continue to be at thehigher levels. The only difficulty would be if you had a severe reversal ofpaper prices. Obviously instead of being a benefit, it goes negative but weexpect margins to be pretty healthy.
Gary Bisbee - LehmanBrothers: Okay, all right. And then, can you give a little more coloron your comments about the economy weakening this quarter? I guess you said add-stopsweren’t as strong and lost business might have ticked up. Any other commentaryor what you are hearing from customers that you can give us?
William C. Gale: Well, I think what we are seeing is what you are generallyreading in some of the press, in that businesses appear to be cautious. I knowI read something recently that talked about that the number of companies hiringin the first quarter of next calendar year is going to be less than it’s beenfor some time and so what I sense that our customers are doing is they arebeing cautious also, waiting to see what happens with the consumer goingforward and as a result of that, I think that there has been a reluctance toreplace workers as they leave various companies. And that impacts our stop adratio and then I think companies are also tending to struggle a bit and ourlost business has ticked up a little, so it’s not significant but it’s enoughto give me some caution that says there is a little bit of concern out there. We still anticipate that we will meet our guidance butobviously if the economy takes a turn for the worse, it’s going to be at thelower end of the guidance than it will be in mid to upper end of the guidance.
Gary Bisbee - LehmanBrothers: Okay, and then just one last one; following on that, aquarter ago you made the comment that you were confident that the organicgrowth in rentals, just due to the sales force reorganization going better now,could accelerate sequentially throughout the year. I don’t think I heard yousay that again. Is there some sense that maybe if the economy did get worse inthe second half that it would potentially more than offset the progress you aremaking with the sales force, or does it still seem likely that that improvedsequentially from here? Thanks.
William C. Gale: Well, I think as I’ve always said is that our guidancealways has assumed a cooperating economy, at least a modestly improvingeconomy. We still believe that the project one team with the salesrestructuring is continuing to provide us benefits. You can see it in the otherbusiness services especially but even in our rental business, organic growthhas improved. Turnover of our sales people continues to ratchet down,productivity increases, so I still expect that to be a contributor goingforward and improve productivity on the new business side. With that said, obviously if the economy took a significantdownturn, selling new business becomes more difficult also. I don’t see thathappening but it’s hard to predict what might take place over the next sixmonths. But right now, we are very happy and pleased with the way project oneteam is going. It is meeting our expectations with regard to new business andwe don’t see anything to say that that’s going to change.
Gary Bisbee - LehmanBrothers: Great. Thanks for all the color.
Operator: Thank you. We’ll now move on to Mike Schneider with RobertW. Baird.
Michael Schneider -Robert W. Baird: Good morning, guys. Maybe first just sticking with projectone team, can you address I guess the interplay between the economy and projectone team? It seems as though the economy maybe is a notch lower than youexpected. Is it then the equal offset though that project one team is actuallyahead of your internal projections or are things just on plan?
William C. Gale: Things are pretty much on plan. It’s not a significantdifference, Mike. Our new business projections are pretty much we expected themto be, a little bit higher in the other business services, which is maybeoffsetting a little bit of the sluggishness on the rental side in add-stops andlost business, but basically it’s -- we’d be nitpicking it to get into thedifferences.
Michael Schneider -Robert W. Baird: Okay, and then just within the metrics that you follow forproject one team, the sales force turnover, maybe you can address sales forceturnover and new business written, that you’ve mentioned customer retention diderode a bit during the quarter but the prior two metrics, can you give us somequalitative or quantitative feel for indeed how those are trending?
William C. Gale: Well, the trends are -- I’m not going to get into qualitativenumbers at all, or quantitative numbers, but the trend is certainly improving.Our turnover has continued to modestly improve, which then has a correspondingimprovement in productivity. But the trendlines are going in the rightdirection.
Michael Schneider -Robert W. Baird: And the productivity improvements, are they being drivenprimarily at the route level or at the professional sales level.
William C. Gale: No, I’m talking -- when I talk about project one team, I’mtalking a professional sales level.
Michael Schneider -Robert W. Baird: Yeah, but take a step back; are you also making equalimprovements at the route level?
William C. Gale: In terms of what?
Michael Schneider -Robert W. Baird: Productivity improvements among the sales force or theroute.
William C. Gale: Well, their route volume is probably improving somewhat butI don't have that data with me.
Michael Schneider -Robert W. Baird: Okay, and then pricing, what is that metric generallytrending at this point?
William C. Gale: Pretty much no change over the last 12 months. It’sgenerally a very competitive environment. We are seeing a lot of pressure uponcontract renewals to get pricing improvement, or avoid a pricing decreaseduring the term of the contract. We’re pretty much being able to exercise ourCPI increases as needed but certainly it is a very competitive situation whenthe contract is up for renewal.
Michael Schneider -Robert W. Baird: Okay, and then a final one on project one team; the lastquarter or two quarters ago you admitted that things were a little morechallenging than you expected. Last quarter you said you are back on track.This quarter we’ve shown some sequential improvement again. I don’t know if youwant to put it in baseball terms or however, but where are we in thistrajectory? Have you accomplished 20% of what you had hoped to in terms ofproductivity improvements? Just to give us some sense of the 12-24-36 monthplan here, how much is left or yet to be realized for project one teamimprovements?
William C. Gale: I don’t have exact data, Mike, but I would say we are in themiddle of the game.
Michael L. Thompson: To expand on that, I’d say from an organizationalstandpoint, we feel like the organization is in place, we have our reps are inplace, we are fully staffed but to get through and get it completely up, I’dagree with Bill that we are in the middle innings.
Michael Schneider -Robert W. Baird: And has the indoctrination or I guess leverage period beenlonger than you expected? We generally talk about I think six to nine months ofdelay before a salesman truly makes an impact. Has that timeframe stretched orhas the training program shortened it?
William C. Gale: I don’t think it’s stretched. I think we did indicate lastquarter that it did take us longer than we thought but again, we feel we are ontrack and that we should continue to see improved new business results throughthe end of this fiscal year and into next fiscal year, barring a significantdownturn in the economy.
Michael Schneider -Robert W. Baird: And did I hear you correctly, Bill, that trends during thequarter -- or Mike, I apologize -- did trends in new business written actuallyimprove through the quarter?
William C. Gale: Yes, they were strongest at the end of the quarter.
Michael Schneider -Robert W. Baird: Okay. Thank you again.
Operator: Thank you. (Operator Instructions) We’ll move on to ChrisGutek with Morgan Stanley.
Chris Gutek - MorganStanley: Thanks. Good morning, guys. Just a couple of follow-up questions;so the first one, Bill, I guess in terms of the increased lost business orincreased attrition rate of the customers, do you think that’s primarily afunction of the macro environment or is there any change in the competitivelandscape? In particular, some of the growth initiatives at G&K or maybewith ARAMARK now being private for a couple of quarters, maybe aggressivelyattacking the cost structure but also being aggressive with pricing? Anythingyou are seeing with those two or any other competitors that are changing thelandscape?
William C. Gale: Chris, to the best of my knowledge, it is more of a macroissue than it is a competitive issue.
Chris Gutek - MorganStanley: Okay. Switching gears, so the CapEx budget, it looks likeyou guys have raised it by $10 million versus your guidance in the previousquarter. In the context of economists seeming to think there is a 50-50 chanceof a recession and therefore maybe a little bit slower growth, a little bitless need for new plants in the short to medium term, is this really beingdriven by the emerging businesses or what else -- is anything else impactingthat CapEx budget increase?
William C. Gale: It’s being driven primarily by the emerging businesses. Tocontinue to accommodate that rapid growth and the potential that exists there,we’ve increased the level of expected spending, primarily in the emergingbusinesses. We really haven’t reduced anything in the traditional businessesbut we are seeing opportunities to expand presence in the emerging ones.
Chris Gutek - MorganStanley: Okay, and in terms of acquisitions, could you elaborate abit on the updated thinking regarding Europe and I guess starting with how yourone acquisition so far is performing? I know it’s early but a quick update there.And then what the next couple of quarters or next year or so would look like interms of maybe expanding off that base in Europe.
William C. Gale: Well, to remind everyone, we made the European acquisitionright at the end of July and just announced it, of course, in September. It’s arelatively insignificant acquisition but it does give us the presence overthere. At this point in time, we have no further announcements tomake with regard to acquisitions either having been concluded outside of NorthAmerica or pending, but I will tell you that our corporate development groupcontinues to be active in looking at opportunities but as we stated inSeptember, we’re going to approach this conservatively and we’re going to makesure that we understand the environment over there before we put a lot ofcapital into Europe or even in other parts of the world. But we continue to be pleased with the results of ouracquisition, albeit only for a couple of months, in The Netherlands. We arevery pleased with the management team we have there and they are being veryhelpful to our corporate development group here at corporate in looking foradditional opportunities, and I would expect there to be something concludedduring calendar ’08 as far as further acquisitions. But at this time, it’s hardfor me to predict when that will take place.
Chris Gutek - MorganStanley: Okay, great. And then my final quick question; what interestrates were you paying on your old commercial paper program, now that you’ve gotthis new $250 million of senior debt?
William C. Gale: Well, commercial paper interest of course fluctuates on aday-to-day basis but it was certainly less than the 10-year rate we’re payingbut we made a decision with the board’s concurrence and with our advisors thatit was prudent to lock in 10-year money at the rates that we obtained. So it isbuilt into our guidance that the higher interest costs that we would pay overthe commercial paper but it gives us more certainty and it also helps I thinkwith our ratings and making sure that we have adequate cash available andcredit line available to withstand anything that might come down the line.
Chris Gutek - MorganStanley: Okay, great. Thanks, Bill.
Operator: Thank you. We’ll not take our next question from BruceSimpson with William Blair.
Bruce Simpson -William Blair: Will you anticipate an increase in the dollar amount of yourinterest moving forward, given the aggressive stance on share repurchases, oris that kind of mitigated by free cash flow?
William C. Gale: Well, what do you mean? In our guidance, we’ve assumedobviously a certain level of interest expense and we never anticipate anyfurther repurchases when we provide you guidance.
Bruce Simpson -William Blair: Okay, did you give us a full year guidance expectation forthe interest, the dollar amount of interest you’ll spend this year, interestexpense?
William C. Gale: No, no, we don’t get into that level of detail, Bruce.
Bruce Simpson -William Blair: Okay, let’s attack it from this angle. You posted about $13million this quarter and the prior quarter. Would you expect that to increasematerially, given that you spent a couple hundred million in the quarter onshare repurchases?
Michael L. Thompson: No, it would not increase materially.
Bruce Simpson -William Blair: Okay, and then again, kind of a nit on modeling here for thetax rate, is that likely to be a situation where you have kind of a catch-uprate in the fourth quarter that brings the full year rate down to the 37.3?
Michael L. Thompson: Actually, you’ll have a catch-up we expect more in the thirdquarter than the fourth quarter.
Bruce Simpson -William Blair: Okay. Mike, could you go over, I couldn’t quite keep up withsome of the puts and takes on SG&A on both a sequential and annual basis,with specifics about medical costs.
Michael L. Thompson: Okay. Again, selling -- our selling and administrativeexpenses on a percent of sales basis were 28% even, which was down from 28.6%in Q1, so in comparing to Q1, the 60 basis point improvement was due to adecrease in professional service fees and medical costs, and also payroll taxesbecause we are later in the individual calendar year for taxes -- onindividuals, that’s a seasonal thing we get every year. So those were the keypieces for the leverage from Q1. If you go back to last year, there was about a 110 basispoint increase, which is primarily the investment in our sales organization.The other piece last year, if you’ll recall in Q2 we had a spike in medicalcosts. That’s come back down more in line with where it traditionally is,although over the years, it tends to increase but as compared to last year,it’s more a traditional level but increases in legal and professional fees andsome other small increases in administrative costs offset that improvement inmedical.
Bruce Simpson -William Blair: So when you think about the absolute dollar amount ofSG&A moving forward, typically it rises through the year, I thinkparticularly into the fourth quarter and now you’ve had kid of a flat level.Integrating what you expect the impact of project one team to be here, as youhave your typical increase in sales as we head into the back half of yourfiscal year, are you anticipating a little bit more leverage than you ordinarilyget out of your SG&A? That is to say, will SG&A be a little bit flatteror even down from here?
Michael L. Thompson: We expect, and I’m not sure on each quarter to quarterbasis, but we expect SG&A to continue to be leveraged on a percent of salesbasis. The absolute dollars, I think -- as I think I indicated last quarter, I’d model it more on a percent tosale basis and show some improvement versus trying to get the absolute dollarsbecause a lot of it is driven by top line.
Bruce Simpson - WilliamBlair: Okay, and then the last thing I have, just to return to theoverall economic macro picture for a moment, can you give us just a little bitmore color beyond saying customers are cautious? Are there particular regionsof the country? Is that automotive driven or Midwest driven or housing driven?So that we can understand where demand is ebbing and flowing.
William C. Gale: Pretty much seeing it across the board, Bruce. And again, Idon’t want to overplay this but it is certainly a little more sluggish than Iwould like to see but it is not confined just to the Midwest anymore. It seemsto be generally across the spectrum.
Bruce Simpson -William Blair: Okay, thanks.
Operator: Thank you. (Operator Instructions) We’ll move on to ScottSchneeberger with CIBC World Markets.
Scott Schneeberger -CIBC World Markets: Thanks. Bill, just following up on the economy question, youhad mentioned before that the guidance for the year assumes a gradualimprovement in the economy and then you said subsequent to that, that you stillfeel pretty good. Should we be concerned about the outlook changing if thingscontinue to dampen going forward? Just a little bit more color on thosecomments.
William C. Gale: Well, I think all I’m trying to signal is that we did notsee the amount of activity we would like to have seen with our existingcustomers this past quarter, and so while I continue to expect the economy toimprove, it is safe to say that if all of a sudden we start seeing a tremendousnumber of lay-offs and companies just being very, very conservative, it’s goingto have an impact on our business and I just hope that what we saw maybe hereover the last couple of months is not indicative of what might be coming downthe line but it certainly makes me want to just alert you guys that okay, ifthis does happen, if we do go into a recession, that’s going to have an impacton our businesses.
Michael L. Thompson: I think on top of that, I think also when you look back, ourQ4 and our Q1 lost business and add-stops ratios had kind of solidified, so tospeak. They hadn’t gotten much better but they hadn’t gotten worse. Thisquarter, they took a turn and just again, with the conversations we’ve had withcustomers, with investors and analyst, et cetera, just the general mood is arewe heading into a recession? At this point, we haven’t seen that in our numbersbut we haven’t seen a slight downturn, so we wanted to alert you to that.
Scott Schneeberger -CIBC World Markets: Okay, thanks. That’s helpful. Turning now to some of the costlines, legal fees have been bouncing around for you recently. You mentionedthat that was offset in the quarter by some positives in medical. Could youspeak about legal fees, how material they are, what direction they’ll go goingforward?
William C. Gale: Well, we’re not going to get into that level of detail,Scott, but legal fees are erratic because depending on where you are inparticular cases, you can ratchet up your costs quite heavily in a particularquarter, if you’re into discovery mode or getting ready for a trial or whathave you. My expectation is that we will have probably similar levelsof legal fees for the next quarter or two and then, barring any new significantactions, we would expect the legal fees to start declining as a percent ofsales.
Scott Schneeberger -CIBC World Markets: Thanks, that’s helpful. And then one final one for costs,could you speak a little bit to fuel, what you saw in the quarter, maybe as apercent of revenue and how that’s trending and looking into this presentquarter?
William C. Gale: We have analyzed that. Mike’s got it. He’ll share it withyou.
Michael L. Thompson: It’s essentially flat year over year and quarter to quarter.We did see some movement in November with some diesel prices coming up, soreally we were looking at it being slightly down for the quarter coming intothe month of November, but diesel costs spiked up a little bit. So overall, wewere flat and don’t see any changes on the horizon other than we’re going towatch that diesel costs.
William C. Gale: The diesel fuel worries us a bit because about 70% of ourfleet is diesel and that did really take a spike up. Fortunately, we saw areduction in natural gas pricing, which helped offset it a little bit but goingforward, if we don’t see a reduction in the diesel expense, that’s going tohave a little pressure on margins.
Michael L. Thompson: All right. Thanks so much.
Operator: Thank you. We’ll now move on to Brandt Sakakeeny withDeutsche Bank.
Brandt Sakakeeny -Deutsche Bank: Actually, most of my questions have been answered but I didjust want to ask you a little bit about the pricing environment on therenewals, because I remember just last cycle that that was sort of the tougherenvironment. Can you just give a little comment about how that’s been so far?
William C. Gale: As I mentioned earlier, maybe you didn’t hear, we arecontinuing to see a very competitive situation on renewals. Our competitors arevery active in trying to convince our customers at the end of their contractterms to go with them as opposed to stay with us, and so they tend to beaggressive on pricing. And we are obviously going to be aggressive back inorder to maintain the business. So it is a situation where I think everyone is going aftershare with the existing customers and we are having to meet competition in manycases.
Brandt Sakakeeny -Deutsche Bank: Okay, great, and just finally with the add-stop and the lostbusiness trends, did those deteriorate through the quarter or were they justfairly soft throughout the quarter? Did they behave in any specific way?
William C. Gale: I think it’s tough to really pinpoint. You know, you lookout at weeks through the quarter, you’ll see ups and downs. I would just say generally the trendline was slightlydown.
Brandt Sakakeeny -Deutsche Bank: Okay, but I think I heard you right in saying that newbusiness through the quarter actually accelerated and peaked in November.
William C. Gale: Yeah, it did. Right.
Brandt Sakakeeny -Deutsche Bank: Okay, perfect. Thank you.
Operator: Thank you. And we’ll now take our next question in the queuefrom Greg Halter with Great Lakes Review.
Greg Halter - GreatLakes Review: Good morning. Relative to energy costs, I know in the pastyou’ve discussed the fact that you haven’t used any sort of formalized hedgingprograms. Any change in that thought process?
William C. Gale: At this time, Greg, no, there has been no change. Wecontinue to believe that the way we are doing it is the best way right now.
Greg Halter - GreatLakes Review: All right. And relative to the share repurchase, I know youare back in the market. I just wondered if you could provide some level ofinput there, given your average was I think 36.73 and with the stock lower thanthat now, what your appetite is on the share repurchase going forward. And ifyou were to use up the final $220 million plus, whatever it is, what theappetite is for the board to increase that going forward.
William C. Gale: I cannot speak for the board, so I’ll have to avoid thatquestion. Obviously we have direction from the board on how they want us tofulfill the authorization. I’m not at liberty to discuss that but given ourpast history, I think you’ll see that we’ve been very conservative in our approachand we’ll -- I don’t see any reason to change that.
Greg Halter - GreatLakes Review: All right, and one last one, new goods inventories were upabout 10% on a year-over-year basis. Can you get into the reasons for thatincrease, which is somewhat higher than your sales growth, or revenue growth?
William C. Gale: I think a lot of that is due to a couple of specificcustomer rollouts that are ongoing in our direct sale business. You build up alot of garments for a big customer rollout and then it takes a while for thecustomer to roll that out. The other thing is that we launched what we call the new bigbook in our direct sale business this past fall, early in the fall. What thatdoes is that’s done every couple of years and it’s like a -- you know, the newproduct offerings that we are going to provide to the top end uniformpurchasers, the hotels, the gaming, et cetera, and there is always a build-upin anticipation of that big book being rolled out. So that’s being done. And I guess the third thing is that we talked in the pastabout some of our new products, like the cargo pant that we are now providingin many of our rental programs and there’s been a ramp-up in some of thoseofferings in order to make sure we have it. And then that obviously supportssome of our new business efforts. As you can see, the new business wasreasonably good. So I’d say those were the three major reasons.
Greg Halter - GreatLakes Review: All right, and I did have another one; relative to thecapital spending in technology and so forth, are you continuing to make anyin-roads on the RFID side, as well as installing additional garment sortationsystems?
William C. Gale: Garment sortation systems are generally becoming the rule ofthumb in most of our new plants, so that’s pretty much a standard requirementof new plants. The RFID continues to be a series of pluses and minuses. We’reabout ready to launch a new test with a new chip in one of our facilities herethis coming year. The old chip that we were using did not withstand theindustrial process to give us the readability we needed, but we continue tobelieve in the technology. We just haven’t been able to prove it out yet.
Greg Halter - GreatLakes Review: Okay, great. Thank you.
Operator: Thank you. We’ll now move to Michel Morin with MerrillLynch.
Michel Morin -Merrill Lynch: A couple of questions; first, I just want to make sure Iunderstand, in terms of the fire protection installations, has that typicallytracked commercial construction spending? Is that kind of what’s been impactingthe business of late?
William C. Gale: Yes, it certainly is tied to new business construction.
Michel Morin -Merrill Lynch: Okay, great. And then secondly, I want to try to tie thesoftness that you’ve seen in the add-stop and in the lost business with thestrong catalog sales. Is that an unusual development, that you are seeingdivergent trends there? Or are they just simply not correlated?
William C. Gale: I don’t think they are really correlated. You know, Michel,maybe over a longer period of time, there might be some correlation, but Iwouldn’t draw any conclusions with one quarter. Because we can launch variousmarketing initiatives and incentive programs, et cetera, for those type ofsales, so I’d hate to draw any conclusions from that.
Michael L. Thompson: Yeah, and just to be clear, those are the sales that ourSSRs, or sales service representatives or our route drivers are making versusour individual sales reps that are selling new business.
Michel Morin -Merrill Lynch: Right, but still, these are sales that are being done toyour existing account base and they are cutting back workers or they arechurning out, so that’s why I’m a bit surprised to see that divergent trend,but okay. And then finally, just to follow-up on the previous question aboutthe buy backs and the appetite for further buy backs, I guess maybe spinning itanother way is what’s the thinking or has there been some increased thinkingaround the dividend and perhaps increasing the pay out?
William C. Gale: There certainly is discussion about our dividend policy andI’m not at liberty to disclose those discussions but the board is looking atthat, as well as other ideas and I would say just we’ll see what happens.
Michel Morin - MerrillLynch: Great. Thanks very much, guys.
Operator: Thank you. There are no further questions at this time. Mr.Gale, Mr. Thompson, I’ll turn the conference back over to you for final oradditional comments.
William C. Gale: Well, thank you, everyone. I appreciate you all joining usthis morning. We did it this morning knowing that many of you are lookingforward to getting away for the holidays, so on a final note, Mike and I andthe entire Cintas team want to wish you and your families a very happy holidayand a prosperous 2008. We’ll look forward to speaking with you again in Marchwhen we release our third quarter results.
Operator: That does conclude today’s program. We thank you for attendingand have a great day.